Operator: Good morning and welcome to Triterras' Conference Call to discuss its result for the First Half of 2023 Fiscal Year Ended August 31, 2022. My name is Melissa and I'll be your operator for today's call. Joining us for today's presentation are the company's Chairman and Chief Executive Officer; Srinivas Koneru; Chief Financial Officer, Alvin Tan; Executive Vice President, Jim Groh; and Vice President of Financial Reporting, Perry Mangers. Following their remarks, we will address questions that have been submitted to the company. Now I would like to turn the call over to Jim Groh. Please go ahead, sir.
James Groh: Thanks, Melissa, and thank all of you for joining us on the conference call today. Before we start, I would like to read the following in regard to our forward-looking statements disclaimers and note to investor disclaimers. Please note that certain information on the call today will include forward-looking statements about future events concerning the company including without limitation, the company's future business strategy and financial and operating performance. These forward-looking statements are only predictions and are subject to risks, uncertainties and assumptions that are difficult to predict and may cause the actual results to differ materially from those stated or implied by those statements. Certain of these risks and assumptions are discussed in Triterras' SEC filings. These forward-looking statements reflect management's belief, estimates and predictions as of the date of this live broadcast, November 30, 2022, and Triterras undertakes no obligations to revise or update any forward-looking statements to reflect event or circumstances that occur on or after the date of this call, except as required by law. Joining me on the call today are our Chairman and CEO, Srinivas Koneru; our Chief Financial Officer Alvin Tan; and our Vice President of Financial Reporting, Perry Mangers. For today's call, I am first going to provide a high level overview of the Triterras business model, then Perry will provide a review of the financial results for the first half of the 2023 fiscal year ended August 31, 2022, which we publicly announced earlier today. Following this review, Srinivas Koneru, our Chairman and CEO, will provide an update on the market and our growth strategy. Alvin Tan, our CFO, will discuss our company priorities going forward. Then I will respond to certain questions that were sent to the company prior to this call per the instructions provided in the call's announcement, which we issued on November 21. We'd like to start our discussion today with a brief recap of our business over the last couple of years. As you may know, the Kratos platform was originally created with an initial focus on commodity traders. Our platform directly connects enterprises with lenders to source capital. We leverage advanced blockchain technology to transform trade and trade finance by digitizing the fundamentally paper-based systems exemplified in today's trade and trade finance transactions. This digitization drives efficiencies, lower cost, reduces transaction cycle times and delivers a monumental improvement in the sustainability aspects of our industry. Our initial success that validated our technology and market, excuse me, let me repeat that, after initial success that validated our technology and market, we further concentrated on a value proposition targeted towards the SME or small- and medium sized enterprise commodity trader segment. We feel that this was a substantially underserved market as evidenced by the widely accepted $1.5 trillion shortfall in trade finance availability for SME traders. The reason that this market has been so substantially underserved is that it can be a difficult market to successfully access, especially through using only legacy solutions, so a breakthrough technology solution was needed to effectively penetrate this market. Our first mover advantage provided us with some early success in serving our targeted market both in terms of attracting new customers and generating profits through fee-based revenues generated from our Kratos platform. Furthermore, in the initial stages of the COVID-19 pandemic, our digitized platform actually offered customer's operational advantages for their businesses with remote capabilities, making our value proposition even more attractive to a growing customer base of SME commodity traders. The worldwide COVID pandemic has had a negative effect on the trade industry as a whole and the SME community of traders in particular. The business shutdowns and resulting supply chain disruptions cause great distress in our industry to both SME traders and their sources of financing alike. Trade credit insurance a risk mitigation vehicle used by commodity trade finance lenders became significantly less available and premiums increased. This was compounded by bankruptcies of trade credit lenders, for example, the failure of GreenCell that further reduced finance resources available to the industry. Country shutdowns in connection with the COVID-19 outbreak further negatively impacted SME traders in the conduct of their business as trading centers like Singapore, and Hong Kong imposed restrictions on travel and prevented businesses from operating. All of these combined factors have had a very detrimental effect to our SME trader clients by causing reduced trading activity, reduced liquidity, financial difficulties in the trade finance marketplace and a great number of client business suspensions and liquidations. The net effect has been a significant impact on our original client base, as a result, we have seen our revenues decline along with the higher-than-expected uncollected amounts of accounts receivable balances. Although, global trade flows have somewhat stabilized for the large traders, many of our original smaller customers continue to suffer from the effects of the pandemic. I will now pass it over to my colleague, Perry Mangers, to take us through our financial results. Perry?
Perry Mangers: Thanks, Jim. Starting first with trade transaction volume for the six months ended August 31, 2022, we had trade transaction volume of nearly $1 billion compared to $4 billion in the prior comparable period. The decrease in trade transaction volume was due to challenges faced by the company from the impacts of COVID-19 pandemic it had on the global supply chain and our customers. Despite the reduction in transaction volume, we grew the number of users on our platform by 89% to 249 from 132 in the prior comparable period, which we believe demonstrates our ability to capture more of the market. Trade finance volume represented 39.9% of total volume during the six months ended August 31, 2022, compared to 36.4% in the prior comparable period. Our average transaction fee percentage for the six months ended August 31, 2022 was 0.57% which is unchanged from the prior comparable period. For the six months ended August 31, 2022, our revenues were $26.4 million, 15% higher than the $22.9 million we generated in the prior comparable period. The increase was due to the addition of trading revenue segment within the trade marketplace sub module, which did not exist in the prior comparable period and contributed $20.7 million in revenue during the six months ended August 31, 2022. Platform fee revenue which decreased $5.7 million in the six months ended August 31, ‘22 from $22.9 million in the prior comparable period was in line with the reduction of the total transaction volume on our platform, again due to global supply chain constraints and trade finance limitations in the industry. Cost of revenue for the six months ended August 31, 2022 totaled $22.1 million which compares to $1.3 million for the prior year comparable period. The increase in cost of revenue was primarily due to $20.3 million in trading costs in the six months ended August 31, 2022 within the trade marketplace sub module. General and administrative costs for the six months ended August 31, 2022, totaled $10 million, a 29% decrease from the prior year comparable period of $14 million. The decrease in general and administrative costs is primarily attributable to a decrease in legal expenses. During the six months ended August 31, 2022, we recorded a $14.4 million impairment in trade and loan receivables compared to a $3.9 million impairment in the prior year comparable period. The impairments relate to trade receivables, which was in large part, due to liquidity issues faced by our customers because of the impacts from COVID-19 -- for the COVID-19 pandemic and contract costs as a result of third parties not making their customer referral targets under a prepaid subscription agreement. Net loss for the six months ended August 31, ’22, totaled $21.6 million, or $0.28 per share compared to net income of $27.3 million or $0.35 per share for the corresponding period last year. Net income for the six months ended August 31, 2022 included $2 million non-cash loss related to the change in the fair value of warrant liabilities and $14.4 million in impairment charges. Net income for the comparable period last year included $25.3 million related to a non-cash gain on the change in fair value of warrant liabilities and a $3.9 million impairment charge. We will continue to record non-cash charges in the fair value of our warrants until such time as the warrants are either exercised or expire, but want to emphasize that this is a non-cash item. Adjusted EBITDA, which is a non-IFRS measure for the six months ended August 31, 2022 was a loss of $19.1 million compared to adjusted EBITDA of $4.1 million for the prior fiscal year comparable period. The decrease in adjusted EBITDA was due primarily to lower transaction volume and the increase in impairments that I previously mentioned. Lastly, regarding our balance sheet. At August 31, 2022, we had $33.9 million in cash and cash equivalents and a working capital surplus of $77.8 million continued to put us in a strong financial position to execute on our business objectives. I will now pass it over to Srinivas, our Chairman and CEO to discuss our recent accomplishments.
Srinivas Koneru: Thank you, Perry, and good morning, everyone. Despite the challenges of which Jim and Perry spoke, we have taken proactive steps to mitigate them and strengthen our business. Early on, as a part of our original strategy, the company began initiatives to expand our kind and geographic focus outside of Asia-Pac region on all commodity tariffs. Our expansion export efforts included creating a supply chain finance business, expanding our geographic focus into the Middle East and North Africa or the MENA region. And in doing so, building out the technology that would enable us to cater to this new carriers. We have been actively working on this strategy for over two years and have had a good deal of success in building the technology and human resource platforms require to execute this strategy. I would like to point out some of this significant accomplishments and [indiscernible] the company's prime focus on expanding our geographic presence, which we believe is of at most important in giving Triterras, the diversification and market breadth to mitigate some of the challenges we have recently experienced. Importantly, we have successfully transitioned away from a sole focus on commodity traders. We have built a pipeline of borrower clients on the platform that represents product ranges from commodities to semi-finished goods to finished goods. We have also augmented and enhanced our technology platform capability to enable a wider range of supply chain finance options and financing structure. Our platform can now cater to a wider range of transactions with lending prices from $5,000 to over $100 million and can facilitate enterprise level supply chain finance with large Western anchor buyers to providing micro lending to the clients of e-commerce platforms like Amazon and Zomato. This flexibility in meeting a wide range of customers, both from a size and product standpoint is directly attributable to our technology solution that are highly scalable and can provide a lower cost profile than the [indiscernible] legal industry solution. Our geographic focus in terms of our typical presence has also expanded to include MENA and Europe apart from our initial focus in Asia. Looking forward, one of our real key priorities is to recruit additional lenders onto the platform to serve a growing pipeline of borrowing -- borrower customers. We believe that trade and supply chain finance lending on our platform offers a company opportunity to institutional lenders of all types. You would recommend to those of you interested in lending to visit our website, which features a video describing trade finance as an asset class. We believe supply chain finance transactions can offer outsized yield opportunities to institutional lenders along with historically low loan default when it has a result of the production that can be structured into the loan transaction. In the recruitment of lenders, our business development teams have focused well beyond traditional commodity trade finance lenders to a broad base of institutional lender, including fixed income funds, credit funds and multi strategy asset funds. We have even augmented our platform, service capability and value proposition to appeal to smaller regional bank looking for an advanced technology solution where we have had some early success. I'm happy to report that through the end of October 2022, we have five lenders who are lending to our clients that are on the platform. We hope that they will be scaling their lending models in future -- in the future months. In order to demonstrate the viability of our supply chain finance lending alternatives to potential new lenders, the company required its own assets into lending transactions for various transaction structures from which we generated significant income and began establishing a track record of lending success that we can share with prospectus third-party lenders. This has enabled our business development team to provide real life data to prospective lenders on the trade finance lending opportunity. On the technology side of our business, our team has been in the lock step with our business development teams to generate innovative solutions that streamline the customer experience. Our team has built additional product solutions and simultaneously work to enhance the security of the Kratos platform, which is a key concern to all our clients, lenders and traders. We have secured ISO 27001 Information Security Management certification fully transitioned to AWS-managed Hyperledger blockchain structure and have instituted robust quarterly penetration testing protocol executed by third-party experts. We are also currently working on Kratos 2.0 project that is targeted on meeting a greater range of customer needs through a low or no-code software development platform. All in all, we believe that our technology solutions are very strong and represent a key differentiator against competitors. With that, I'd like to turn the call over to our CFO, Alvin Tan. Alvin?
Alvin Tan: Thank you, Srinivas. Although, we have accomplished much in terms of technology and business development. Financial results for the six months ended August 31, 2022 have been responding to all of us. In recognition of this, the company has a clear view of its operating priorities going forward with angle of maximizing shareholder value, which includes the following. We will continue to focus on our business development efforts on recruiting new lenders to the platform. In terms of business growth, increased lender funding on the platform is a significant limiting factor, and as such, receives the most attention. Since we put to grow revenues, we need more lending on the platform from outside sources. Our revenue, financial and commercial teams are focused on collecting the significant outstanding accounts receivable balances, from our original commodity trader customer base. We fully understand the need to generate cash from accounts receivables. We will continue our efforts to enhance our trade marketplace, which is an alternative lending structure for the deployment of our trade finance loans. We are undergoing an extensive review of our budget to eliminate cash expenditures on all non-critical items while continuing to invest in business and technology development. We believe that we can achieve a reduction in the run rate of our SG&A without damaging our long term business prospects. Lastly, we are still working on potential M&A projects that we view can be accretive to long term shareholder value and support our overall business expansion. Based on these plans, I would like to summarize the company's current outlook. For the remainder of this fiscal year, we expect to generate operating losses with expectation that we can achieve a breakeven run rate sometime in the next fiscal year. To achieve the expected growth in operating income, we will strive to establish a level of funding availability on the Kratos platform to drive increased transaction volumes. In addition to this, the company is taking actions to reduce general and administrative expenses. However, there is no guarantee that the company can reach the level of funding and customer transaction volume necessary to achieve those results. In regard to liquidity, the company feels it had adequate cash resources to execute our plans over the next 12 months. We will seek to improve our liquidity position by taking among others the following actions: collecting $4.25 million from our insurance credits related to the transaction lawsuit settlement. Further, redeeming our $20 million investment in trade credit partners, and improved collections of outstanding trade and loan receivables as well as actions we spoke of in terms of improving our operational results. I will now turn the call over to our CEO, Srinivas Koneru, to wrap up management commentary before we get into questions.
Srinivas Koneru: Thanks, Alvin. In closing, we thank you all for your time and attention today. This morning, we published a Form 6-K which provides the market with a detailed update on many items, we encourage investors to review the document in detail. Please note that the Board, management and employees of Triterras recognize the challenges with which we are gaining and we are singularly focused to do our utmost to improve our financial results and thereby to build a strong and wide brand company over the long term. Now I will turn it over to Jim for Q&A.
A - James Groh: Thank you, Srinivas. This concludes our prepared remarks and we're now ready to address the questions that were submitted ahead of time. Like the last call, I will read the question and ask the appropriate number of our team to answer. Our first question is, number one, how has Triterras maintained or adapted the core business model in light of the global downturn? And I'm going to answer that, that the response to this question is addressed in both our Form 6-K filing made with the Securities and Exchange Commission today, as well as during today's conference call. The second question, cash position, cash burn rate/plans going forward as needs grow. Alvin, would you please respond?
Alvin Tan: Yeah. So the response to this question is addressed in both our Form 6-K filing made with the Securities and Exchange Commission today, as well as during today's conference call, which we outlined a number of plans with regards to improving profitability and managing the company's cash position.
James Groh: Thank you. Third question was on user growth. Could we -- maybe even an active user metric, those with activity in the past month quarter, et cetera. Srinivas, could you answer please?
Srinivas Koneru: As of August 2022, we had a total of about 249 users.
James Groh: Thank you. Next question. How is growth in lenders going? Are the lenders on the platform expanding their use? Where are you seeing success in new lenders? Srinivas, please?
Srinivas Koneru: We are pleased to report that as of October 2022, we added five lenders to the ecosystem, but many of them are in the early stages of their rollout. We hope that over time they will have positive experience on the platform and will gain their lending.
James Groh: Next question, is the company pivoting from individual traders to banks as the customer, Srinivas?
Srinivas Koneru: We view our client group as being comprised of lenders and traders who are the borrowers that come together on the Kratos ecosystem. In the lender segment, we have substantially increased our reach in that we traditionally were focused on trade finance, specialty lenders. And now, we are speaking with general credit funds, multi strategy asset fund and institutional lenders among others. We also believe that we have a compelling technology solution for regional banks who could benefit from outsourcing their technology from Triterras rather than building an in house solution. Currently, we do have a regional bank as a lender.
James Groh: Thank you. Next question, any updates on the relisting? I will answer that one. In the Form 6-K filing, which we made today with the Securities and Exchange Commission, the company provided an update on -- its overall listing process. We're not in a position to provide any estimates on -- if or when the company securities will be listed on NASDAQ or the OTC markets. Well, number seven we have, will the company disclose more information and findings about the internal investigation from October 2021? Srinivas?
Srinivas Koneru: The company does not have any plans to disclose any additional information regarding the investigation at this time. Our form of announcement follow generally accepted protocols.
James Groh: Thank you. Next question, will the company consider to release quarterly business updates? Alvin?
Alvin Tan: It is not our plan to do so. As a foreign project issuer, the company's obligated to file annual report with certain audited financial information in order to be compliant with OTC market requirements. Given the cost and time associated with quarterly filings, the comments do not want to revise our reporting to the quarterly cadence.
James Groh: Thank you. Question we received, does Mr. Koneru have any intentions to step down as CEO and just be a non-executive Chairman. Srinivas?
Srinivas Koneru: No, I do not.
James Groh: Thank you. Number 10, would you consider to schedule ER and I'm assuming that's earnings release and conference call on two separate days to allow your investors to prepare questions after reading the results. Alvin?
Alvin Tan: Yes. We would consider this as it would certainly be easier for the company to do so. However, historically has seen the consensus view that investment community prefers that business update to be given immediately after the release of results and the public filings of the same.
James Groh: Thank you. In the latest Form 20-F, you state our growth plans rely on ability to increase the number of new and existing customers on our Kratos platform. The company has documented an agreement with a singular third-party to which fees are paid for every successful customer referral. Beyond this agreement, what are the company's other customer acquisition strategies? Srinivas?
Srinivas Koneru: Triterras has a business development team led by two Executive Vice Presidents with years of experience and reach in the marketplace to originate good deals. The origination pipeline is very healthy at this point in time. We are continuing to work on geographic expansion and the strategic M&A to expand our address full market.
James Groh: Thank you. How has the industry evolved over six months? And I'm going to give that answer because it's aggregated amongst interviews with many of our business by commercial business colleagues. Couple of developments, two platforms in the business. We trade in [indiscernible] basically have ceased operation and discontinued. Borrowing costs have increased by 25% in the last six months and attributable to rising interest rates around the world and the war in Ukraine, and passing this pricing decrease on to our customers has been a challenge. Given some of the recent geopolitical scenario and post-COVID applications, we continue to see many traders continue to struggle financially. Next question. what compelling reasons do customers cite for switching to or choosing Kratos? What aspects of the Triterras offer resonates with customers? Srinivas?
Srinivas Koneru: Kratos is a highly user friendly platform that allows all the participants to exchange trade information freely. They will share trade contracts conclude the trigger agreed payments track order, capture order history and generate reports. Kratos offer significant benefits for enterprises to boost their ability to identify potential finances and secure timely availability of funding for their sealing (ph) trade transaction. Kratos reduces overhead costs by digitization and automation of business processes, which also eliminates human errors or data tampering thereby showing in a unmatched speed and efficiency for trading.
James Groh: Thank you. The final question, the company's 2022, Form 20-F made several statements concerning the marketing efforts of the company. However, when looking at publicly available information such as on social media search engines. It is difficult to discern what marketing activities the company has undertaken. Please provide some additional detail on marketing activities. I will answer that question. The company's marketing teams have completed several initiatives and we're happy to outline a few of them here. First and foremost, we made a number of changes to our website to enable the company to publish news items that don't rise to the level of requiring a press release and also thought leadership pieces and announcements as well as events. The company is also publishing a series of information videos on our YouTube channel, which are available on the News section of our website. Kind of the sum total of that is the cadence of content has increased significantly over the past few months. Speaking of websites, we are now working on a total revamp of our website which we hope to complete early next year. In addition to that, as far as marketing activities, we've also been running direct marketing campaigns on different social media platforms, which has generated leads for our business development teams. At this time, this concludes our question-and-answer session. And I have one more small announcement to make. I will be stepping down as the Executive Vice President of Investor Relations and the IR activity is going to be consolidated into other company departments. I will be remaining with the company on a part-time basis and an advisory and transitory role, mainly focused on marketing and communications. Thank you all for joining the call. We appreciate your support of our mission and confidence and our ability to achieve it. Stay safe and we look forward to speaking with you soon. Have a great day. If you have any comments or questions, please contact Triterras Investor Relations team at trit@gatewayir.com. Operator?
Operator: Thank you. Ladies and gentlemen, thank you for joining us today for Triterras’ conference call. You may now disconnect your lines and have a wonderful day.